Operator: Good morning. And welcome to the VAALCO Energy Second Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Al Petrie, Investor Relations Coordinator. Sir, please go ahead.
Al Petrie: Thank you, Operator. Good morning, everyone. And welcome to VAALCO Energy’s second quarter 2021 conference call. After I cover the forward-looking statements, George Maxwell, our CEO will review key highlights along with operational results. Ron Bain, who has named CFO in June, will then provide a more in-depth financial review. George will then return for some closing comments before we take your questions. During our Q&A session, we ask you to limit your questions to one and a follow-up. You can always re-enter the queue with additional questions. I’d like to point out that we posted a Q2 2021 supplemental investor deck on our website this morning that has additional financial analysis, comparisons and guidance that should be helpful. With that, let me proceed with our forward-looking statement comments. During the course of this conference call, the company will be making forward-looking statements. Investors are cautioned that forward-looking statements are not guarantees of future performance and those actual results or developments may differ materially from those projected in the forward-looking statements. VAALCO disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. Accordingly, you should not place undue reliance on forward-looking statements. These and other risks are described in yesterday’s press release, the presentation posted on our website and in the reports we filed with the SEC, including the Form 10-Q that was filed yesterday. Please note that this conference call is recorded. Let me now turn the call over to George.
George Maxwell: Thank you, Al. Good morning everyone. And welcome to our second quarter 2021 earnings conference call. Thus far, 2021 has been an exciting year for VAALCO, where we have completed a very accretive acquisition opportunity that arose in late 2020. We closed the acquisition of Sasol, 27.8% working interest in the Etame in February 2021 with cash on hand. The accretive nature of the deal are very apparent in our first half 2021 results, with significant increase to our production adjusted EBITDAX and cash flow. In the second quarter, we produced an average of 8,018 net barrels of oil per day, which was an increase of 55% over the first quarter, driven by the inclusion of all three months of the increased NRI production due to the Sasol acquisition. The second quarter also reflected stronger revenue due to higher realized pricing and strong sales. This helped to boost our adjusted EBITDAX to $21.9 million in Q2 2021 and we have now generated $40 million in adjusted EBITDAX for the first half of 2021, which is more than in either of the previous two full calendar years and over 6 times what we generated in the fourth quarter of 2020. We are happy with the ongoing strength of the oil price environment and with the significant increase in production, we wanted to lock in a meaningful portion of our free cash flow and adjusted EBITDAX to assure that we have the funds for our upcoming capital program later this year and into 2022. Turning our attention to the future, our strategic vision is built on a future growth through organic drilling opportunities and through acquisitions. As you saw in our Q2 results, we’re generating significant cash flow in preparation for our 2021, 2022 drilling campaign. Also during the second quarter, we accelerated the processing over 3D seismic in order to maximize the impact to the upcoming drilling campaign. We continue to expect all the data will be fully processed and analyzed by the fourth quarter, and we are using the seismic to optimize our drilling locations for the drilling campaign. Additionally, we are derisking future drilling locations and potentially identifying new drilling locations with the 3D processing. In June, we secured a contract with Borr Drilling Limited to drill two development wells and two appraisal wellbores with options to drill additional wells. Depending on commitments related to the rig, we believe that we can begin drilling as early as December of this year. If this all program is successful, the estimated increase in gross fuel production is 7,000 barrels of oil per day to 8,000 barrels of oil per day or 3,500 net barrels of oil production per day to 4,100 net barrels of oil production per day to VAALCO when the drilling campaign is completed in 2022. Hand-in-hand with the production increase will be the margin expansion and per barrel cost reductions. About 90% of our production costs are fixed and those production increases per barrel costs will decrease dramatically. Every new barrel we will bring online is more economic because of the low variable costs. So as we grow production, we’re also growing our margin per barrel and reducing our cost per barrel. From a capital standpoint, the estimated cost of the program is between $115 million and $125 million gross or $73 million to $79 million net to VAALCO. The upcoming drilling campaign has the potential to generate significant additional free cash flow, especially when you combined the sustained higher oil prices with our low cost operating structure. Our strategy is to utilize the additional free cash flow to fund organic and potentially inorganic accretive growth opportunities in the future. In line with a strategy to be a low cost operator, we’re constantly looking at ways to minimize costs and improve margins. From an operating cost standpoint, our current FPSO costs are about 40% of our total production expense. The non-binding LOI which VAALCO announced in April of this year expired with any mutually agreeable contract being raised. We are in advanced talks to finalize a binding agreement with other parties that will reduce our costs and meet our schedule in line with what we previously announced. We expect to update the market at the earliest opportunity and we still expect that the project will be fully operational before our FPSO contract end. This will dramatically improve our margin per barrel and we will be able to deliver more free cash flow to fund our future growth opportunities. Looking at the second half of 2021, we have several operational events coming up. We’re now planning on completing two workovers during the third quarter, when we initially had planned to do just one in the second half of 2021. We believe there is significant cost savings associated with performing the two workover sequentially. One of the workover is expected to provide potential production uplift, while the second is to install an updated ESP design on a well where the existing ESP is showing signs of potential failure. As a result, our guidance for workover costs is slightly higher than before. But given the cost savings benefit of doing two workover sequentially, our expected costs are not going to double when compared to the cost of completing just one. We’re also planning our annual seven-day field maintenance turnaround, which is expected to take place in September and be completed by the end of the quarter. As always, our annual production guidance included that planned turnaround. Unfortunately, the FPSO will not be able to perform its full annual maintenance turnaround at the same time due to safety protocols. As a result, we have to schedule an additional six-day turnaround in the fourth quarter to accommodate the additional FPSO maintenance. Taking into account the planned and unplanned turnaround, potential uplift from the workovers and natural decline, we expect production in the second half of 2021 to average between 7,000 net barrels of oil per day and 7,800 net barrels of oil per day. This is just a bit lower than the estimated earlier this year for the second half of the year before we knew of the additional quarter four FPSO maintenance event. Our annual guidance hasn’t changed and we still expect to be within the range of 6,800 barrels of oil per day to 7,400 barrels of oil per day. Without the unplanned second maintenance event we believe we would have been well above the midpoint of our 2021 full year guidance. As a reminder, since our 2021, 2022 drilling campaign doesn’t begin until late this year, we are not currently forecasting any material production uplift from that drilling campaign in 2021, but we should see significant uplift in 2022. For sales volumes, we haven’t changed our annual guidance of 7,100 barrels of oil per day to 8,000 barrels of oil per day. We expect third quarter sales to be in the range of 7,800 barrels of oil per day to 8,500 barrels of oil per day. As we have discussed before, sales volumes do not always equal production volumes due to the timing and size of liftings, going forward we plan to continue to provide sales volumes guidance on an annual and quarterly basis. If we expect a material change in our actual sales volume compared to guidance we will inform the market. As a result, going forward we will no longer post monthly liftings on our website. We arrange the timing and size of liftings to optimize revenue, which means that we will not always have free liftings per quarter and the size can change somewhat from lifting to lifting. Posting liftings is not a common occurrence in the industry and we believe our investors will be better served with us giving quarterly sales guidance with material updates provided by us as needed. I would now like to give you a quick update on some exciting new developments in Equatorial Guinea. We have a substantial working interest in Block P and we are evaluating several developments step out and exploration opportunities in our acreage. We are excited about the opportunities on the Block and believe it makes sense to move this project forward with a more definable timeline and potential development. We have recently completed our drilling feasibility study for the standalone development of the Venus discovery in Block P and we are moving forward now with a field development concept. As we work through development, we will provide more details about potential timing, capital cost and reserves and production estimates. We are committed to profitably exploiting the resource potential of our assets and Equatorial Guinea could become a significant operational asset moving forward. In summary, our outstanding employees continued to operate and execute on VAALCO’s strategy of accretive growth and free cash flow generation through cost effectively maintaining core production. We have a strong balance sheet and with our increased production base and new hedges, we have locked in sufficient cash flow to fund our upcoming capital obligations, whilst maintaining upside. As you can see, we are firmly focused on maximizing shareholder return opportunities and operating with the highest regard towards ESG, while we progress our strategic objectives focused on future growth. I would now like to introduce Ron Bain, our new Chief Financial Officer. I have known and worked with Ron for many years and his guidance has been an integral part of our success in the past. His leadership of large geographically diverse financial teams listed in both the U.S. and U.K. and strong ties to the London investment and banking communities make him an important addition to VAALCO. With that, I’d like to turn the call over to Ron to share our financial results.
Ron Bain: Thank you, George, and good morning, everyone. Let me begin by saying I’m very pleased to have recently joined the VAALCO management team. Like George, I knew VAALCO well from my days working with him at Eland and see the significant potential we have at VAALCO in both Gabon and Equatorial Guinea. I look forward to get to know our shareholders anonymous over the coming months. Turning to our financials, adjusted EBITDAX totaled $21.9 million in the second quarter of 2021, compared with $18 million in the prior quarter, and more than double the $10.1 million in the same period of 2020. Adjusted EBITDAX for the second quarter of 2021 was higher than both prior periods, primarily due to the increased sales volumes and higher realized prices. Our adjusted net income for the second quarter of 2021 totaled $8.4 million or $0.14 per diluted share, as compared to an adjusted net income of $8.7 million or $0.15 per diluted share for the first quarter of 2021. Higher sales and realize pricing were offset by higher DD&A due to the bargain purchase price accounting associated with the Sasol acquisition and one-time severance costs. In the second quarter of 2020, VAALCO reported $5.3 million in adjusted net income or $0.09 per diluted share. Additionally, we reported strong net income of $5.9 million or $0.10 per diluted share in the second quarter of 2021, which included a $10 million loss in derivative instruments, of which $5.7 million was an unrealized loss. As George mentioned, the second quarter reflect the significant increases in sales and continued strong realize pricing. Turning to production, so production for the second quarter of 8,018 net barrels of oil per day increased 55% from 5,180 net barrels of oil per day in the first quarter of 2021, driven by the Sasol acquisition volumes being included in the company’s results for all three months of Q2, compared to only about one month in Q1. Second quarter 2021 production was up 48% from the second quarter of 2020. Sales volumes in Q2 2021 were up 4% from the first quarter and up 2% compared to the same period in 2020. The increase in volumes is primarily due to the additional Sasol interest. Our crude oil price realization increased 14% to $69.61 per barrel in the second quarter of 2021 versus $61.31 per barrel in the first quarter of 2021 and was up 146% compared to the $28.31 per barrel in the second quarter of 2020. Our hedging strategy for 2021 has been to lock in a majority of our 2021 production volumes to predict cash flows and issue funding of our capital program in 2021 and 2022, but still allow for some additional upside. In January 2021, we entered into crude oil commodity swap arrangement for a total of 709,262 barrels at a Dated Brent weighted average price of $53.10 per barrel for the period from and including February 2021 through January 2022. These swaps settle on a monthly basis. In May, we added more crude oil swaps of 672,533 barrels at Dated Brent weighted average price of $66.51 per barrel for the period from and including May 2021 through October 2021. And last week, we entered into additional commodity swap at Dated Brent weighted average of $67.70 per barrel for the period from and including November 2021 through February 2022 for a quantity of 314,420 barrels. After entering into this latest hedge, VAALCO now has 70% of its production hedge through October 2021 and 50% of its production hedge from November 2021 through February 2022. We took similar actions in 2019 before we began our 2019, 2020 program, I will continue to assess or meet to mitigate price risk and predict cash flow in the future as we consider any additional future derivative contracts. Turning to the expenses. Production expense excluding workovers for the second quarter of 2021 was $16.1 million, which was flat with the first quarter of 2021, despite the higher sales and $3.9 million higher than in the second quarter of 2020, due to higher sales and the increase in working interests associated with the Sasol acquisition. The per unit production expense excluding workover of $25.02 per barrel in the second quarter of 2021, decreased as compared to $26.02 per barrel in the first quarter of 2021 and $19.31 in Q2 2020. The per unit production expense excluding workovers decreased 4% as compared to the first quarter of 2021, due to the increased sales but flat actual cost. The per unit rate in the second quarter of 2021 increased 30% from the rate in the year ago quarter, primarily due to the increase in working interest costs associated with the Sasol acquisition, where sales were nearly flat year-over-year. The second quarter of 2020 included four liftings that increased sales, included in total production expense are COVID-19 related costs incurred to protect the health and safety of the company’s employees, which totaled approximately $800,000 in the second quarter of 2021. Production expense for the third quarter of 2021, excluding workovers is projected to be between $20 million and $22 million or $27 per barrel of oil sales to $30 per barrel of oil sales. Keep in mind that Q3 2021 has an increase in absolute and per barrel costs compared to the second quarter of 2021, due to the seven-day planned maintenance turnaround. As George mentioned, we are now planning on completing two workovers during the third quarter, when we initially planned to do just one in the second half of 2021. We’ve adjusted our guidance for workover costs to $8 million to $10 million net VAALCO from $5 million to $6 million previously. We do get the benefit of doing the two workovers in succession, so I would expect the costs are not double the cost of just completing one. DD&A for the second quarter of 2021 was $5.8 million or $9.5 [ph] per net barrel of oil sales, compared to 4.1 million or $6.70 per barrel in the first quarter of 2021 and $2.8 million or $4.44 per barrel in the second quarter of 2020. DD&A was higher comparable to the prior periods due to the higher depletable costs associated with the Sasol acquisition. Our asset base for the Sasol acquisition was valued at fair market value in a stronger pricing environment than which we negotiated the deal price. General and administrative expense for the second quarter of 2021, excluding stock-based compensation expense was $4.2 million, compared with $3 million in the first quarter of 2021 and $2.3 million in the second quarter of 2020. The increase in Q2 2021, compared to Q1 2021 was the result of additional severance costs associated with changes in key personnel. The per unit G&A rate excluding stock-based compensation in the second quarter of 2021 of $6.57 per barrel of oil sales was higher than both the first quarter 2021 and the second quarter of 2020, due to higher severance costs with relatively small changes in sales. For the third quarter, we are forecasting G&A excluding stock-based compensation to be between $2 million and $3 million, which is more consistent with our expected run rate without these one-time costs. Non-cash stock based compensation expense was impacted by the change in the SARS liability as a result of changes in the company’s stock price during the quarter. For the second quarter of 2021, the stock-based compensation expense related to SARS was an expense of $400,000, compared to an expense of $1.2 million for the first quarter of 2021. For the second quarter of 2020, there was expense of $700,000 related to SARS. Turning now to taxes. Income tax expense for the three months ended June 30, 2021, was $2.8 million. This is comprised of a $3.3 million of additional tax benefit and a current tax expense of $6.1 million. The income $2.2 million income tax benefit for the three months ended June 30, 2020, included a $3.4 million deferred tax benefit and a current tax expense of $1.2 million. For both Q2 2021 and 2020 VAALCO’s overall effective tax rate was impacted by non-deductible items associated with operations and deducting foreign taxes rather than crediting them for United States tax purposes. At June 30, 2021, we had an unrestricted cash balance of $22.9 million, which included $2 million in net joint venture owner advances. Working capital at June 30, 2021, was negative $9 million, compared with a negative $15.8 million at March 31, 2021. While adjusted working capital at June 30, 2021, turn positive to $4.3 million, compared to negative $2.7 million at March 31, 2021. For the second quarter of 2021, net capital expenditures excluding acquisitions total $3.1 million on a cash basis and $1.8 million on an accrual basis. These expenditures were primarily related to the purchase of a mobile workover unit, equipment and enhancements, as well as early costs associated with the 2021/2022 drilling program. As has been the case since the second quarter of 2018, we are carrying no debt. And with that, I’ll now turn the call back over to George.
George Maxwell: Thanks, Ron. As we look at 2021 and beyond this is a very exciting time for VAALCO. I believe it is paramount that businesses are sustainable in order to provide benefits to all stakeholders with a focus on growth and investor returns. With that in mind, I am pleased to announce that we have completed our second ESG report that was primarily developed in close alignment with the recommendations of SASB as we significantly enhanced our disclosures and related discussions. The core values outlined in our report are a part of our culture and provides a solid foundation that assures our success as a trusted operator, a generous partner to the communities where we operate and as good stewards to the environment. We have a strong asset base in Etame that is generating meaningful free cash flow and adjusted EBITDAX in the current pricing environment. This is evident in our first half 2021 results. The $14 million that we have generated in adjusted EBITDAX in the first half of 2021 is more than VAALCO generated in either of the full year of 2019 or 2020. Sustained operational excellence and robust financial performance at Etame serves as the foundation for growing VAALCO through organic drilling and future accretive acquisition opportunities in line with our strategy. In April, we also purchased the hydraulic workover unit that we have used in the past for less than $2 million in total consideration. This unit is in Gabon and is being deployed in the third quarter to perform two workovers that should increase production. Having a workover unit in country will allow us to respond to any well downtime issue quickly and will save a significant time, production and cash flow when addressing workover requirement of an ESP unit goes down. But we are not simply looking to maintain production in Gabon, there are meaningful development opportunities across our assets. We have completed a feasibility study for the standalone development of the Venus discovery on Block P in Equatorial Guinea and we are moving forward now with a field development concept. Etame and potentially now Block P can enhance our business and provide a strong platform for organic growth and increased future cash flow. As we continue to generate significant cash flows to fund your capital expenditures, we continue to evaluate ways to return some of that free cash flow to your shareholders. VAALCO has adopted share repurchase programs in the past and we will consider similar programs in the future to complement our growth strategy. In the fourth quarter, we’ll begin another drilling campaign at Etame and with the recent additional hedges we have locked in sufficient cash flow generation from operations to fund this program and desensitize the risk of oil price movement. As you can see, we are firmly focused on maximizing shareholder return opportunities and operating with the highest regards towards ESG where we progress or refresh strategic objectives focused on a future growth. Thank you, with that, Operator, and we are now ready to take questions.
Operator: [Operator Instructions] First question will be from John White of ROTH Capital.
John White: Good morning, George.
George Maxwell: Good morning, John.
John White: Mr. Bain, congratulations again on your recent appointment.
Ron Bain: Thank you.
John White: Well, congratulations on the quarter. Looks like everything went a little better than planned. So very, very nice to see that and thanks for the detailed operations update. I’m excited about Equatorial Guinea, the announcement there and Block P. That was a Devon discovery, I believe, is that correct?
George Maxwell: That’s correct. I mean, and they are currently position with -- within our -- I would say, CPR report, I don’t know what, 2C basis [ph] of around 16 million miles on the discovery.
John White: Thanks for that. And would you want to say who are your partners in Block P?
George Maxwell: In Block P we got GEPetrol and Atlas are the partners.
John White: All right. And the anticipated depths of the target zone?
George Maxwell: That’s a good question. I think we’re sitting at -- this is the target zone subsurface, okay? We’re planning to drill from -- on the surface.
John White: To vertical depth.
George Maxwell: To vertical depth, I believe is around by 3,000 meters.
John White: Thank you. And sandstone, limestone, could you talk a little bit about the lithology?
George Maxwell: We don’t have that detail around at the moment. I think it is a sandstone play. But I can come back to you on that one, John.
John White: Okay. No. Thank you. Is it too early to talk about timing of the potential well getting started?
George Maxwell: Yeah. Well, I think, the key work that we performed in Q2 was, as we mentioned, the drilling feasibility. So we had to try and determine was it possible to meet the targeted zones from the shelves, as opposed to trying to drill in a deeper water location. And that was really paramount in order to assess whether we could get an economic development providing that level of oil accumulations at 16 million barrels. Having established that, that was possible in well trajectories and angles were sufficient was that coming from a jack-up. And we’re now looking at how we can have an efficient field development concept again from the shelf, so not fetching into the deeper water locations, but of courses, as you know, we ramp-up very, very quickly. And I’m hoping to be in a position towards year end to have a much firmer outline on a timetable and a much firmer technical presentation on how we returned to evacuate that oil.
John White: Okay. Very good. It’s exciting and I’m looking forward to learning more. I will turn it back to the operator now.
George Maxwell: Thank you, John.
Ron Bain: Thanks, John.
Operator: The next question will be from Bill Dezellem of Tieton Capital. Please go ahead.
Bill Dezellem: Thank you. Would you please, first of all, continuing on EG update us with the production sharing contract update and what’s going on with the Ministry? Is that now complete or is there still more steps that you are waiting for?
George Maxwell: It’s more or less complete. I mean, what was happening there, Bill was, we have one partner basically coming out to defaulting. So those amendments are taking place and we’ve gotten complete towards the beginning of Q2 and that was kind of good to go. But then we have one more amendment with another partner exiting, very small percentage, those amendments are going through now. We don’t have any issues around those amendments. It purely just an administrative process and the discussions we’ve had with the EG authorities is -- we’re seeing it in a positive aspect.
Bill Dezellem: And so where now as soon as those contracts are inked, you’ll then have 25 years, is that correct? Is that when the clock begins?
George Maxwell: Well, we’re currently in an exploration position. So we have to look at, and as you know, we have an obligation for an exploration well. And what we’re looking to do is get into the discussions around the Venus development or not Venus development to fully that obligation. And once we get that position agreed, at that point, the tenure of the PSE will be extended.
Bill Dezellem: All right. Thank you. And then relative to your comment in the release, that you’re accelerating the seismic processing, would you discuss what it is that you are doing more quickly and what that will actually do for you, given that it doesn’t sound like the rig will be coming on any more -- any sooner than originally discussed?
George Maxwell: Yeah. What we do there is basically we’re pulling forward the, what we call the whole package or the package of seismic interpretation that we have around a given location so we can get better clarity around subsurface, well targets are. And what we want to do is basically make sure we have the same imaging, sorry, better imaging from what we had previously, to just confirm bottomhole locations for the targeted drilling. So the reason we pull that forward is basically to add a derisking to the drilling program, remove some uncertainties, so we’re not chasing the tail, of course, with the execution.
Bill Dezellem: Great. Thank you.
Operator: [Operator Instructions] The next question comes from Charlie Sharp of Canaccord.
Charlie Sharp: Yes. Thank you very much for taking my question. Good morning, gentlemen. Just a couple of questions, firstly, around the workover and then the forthcoming drilling, and then a bit of a follow up on the FPSO, if I may. Firstly, in terms of the workover -- the extra workover that you have in Q3, should I assume that’s the Brewery [ph] 2H workover that, I think, had originally been planned as part of like the drilling program? And secondly, on the drilling, given the extra work that you’re putting into the new 3D seismic, what’s your position at the moment in terms of possibly adding an additional fifth well to the program? And then on the FPSO, I understand that maybe it’s too soon to disclose details, but would you expect to see the same sort of annual reduction in operating costs that you cited before using the only proposed FP -- FSO with whatever it is that you plan to use instead? Thank you.
George Maxwell: Thank you, Charlie. I’m walking from them because I’ve a notes here on this one, but the second workover, I believe, is 12H, and the reason we had to come into that second worker is due to the failure of the lower ESP, the well still performing at the moment, but it’s performing on the upper ESP. And we don’t want to take a risk of being there with the workover unit doing 2H and then all of a sudden leaving the workover with a workover unit at 12H upper ESP fail. So that’s -- it’s really just to make sure we have returned to the redundancy that we have on these wells with two ESPs, and like I said, we’re not seeing, we’re seeing slight fluctuations in 12H, but we’re not seeing a complete failure on the well yet. But as a result of the more ESP failing, we’ve got that scheduled then in Q3. With regard to the drilling program, as you know, we continually will be looking at the options. We’ve got additional five options on the drilling program that will be subject to exciting target locations that we have, availability of long lead items and obviously making sure we can get it into our existing cash forecast. But, yes, we continue to evaluate a fifth well opportunity, and I would say, that will be positioned to come up on these evaluations towards the beginning or middle of Q4. With regard to the change of the FPSO to the FSO, yes, you can -- we’ll be looking at this opportunity and we’ve expanded the reach of potential suppliers on an FSO concept. We keep two things in mind when we’ll be looking at, the first is schedule. It’s absolutely critical that any contract we enter into will have high confidence levels have been able to hit the delivery schedule well ahead of the contract end date of September 2022 for the existing FPSO. And secondly, we are looking at the cost opportunity, and seeing, currently, with this additional expanded view of suppliers maintained the indicative cost savings that we mentioned that in June of this year. And the answer to both of those is, yes. Schedule is the priority. We cannot miss it and we will not miss it, but we are also on track for those indicative cost savings.
Operator: Next question will be from Richard Dearnley of Longport Partners.
Richard Dearnley: Good morning. The question about the feasibility of reaching the zone from the shelf, I take it that that means you expect that you’ll be able to reach it from the shelf or what are the odds of the feasibility study being positive?
George Maxwell: I think that feasibility study has been completed. The drilling team looked at various options as to what it would take to reach the targeted zones. The key aspects there are how high risk the well is and the angle of attack that the well design is taking to get to the targeted subsurface location. We went through a number of aspects including the well design, whether we had to do a rotating casing program, which of course, is a higher risk position. And the results of those based on starting the drilling at various water depth and depth -- we looked at three water depths, we look between 120 meters and 140 meters. And the deeper we go the shallower the angle of attack for the well and the shallow we go, the higher the angle of attack and we’ve come to the conclusion that for the plant producing wells were well within the spectrum and the angle of attack to get these wells completed. So there’s not really a significant -- as we see a significant drilling lift. I think, from memory again, we’re looking at the well angles down in the 40 degree and 50 degree positions.
Richard Dearnley: I see. Thank you. And then the accelerated 3D -- the acceleration of the 3D program, did that have a meaningful cost impact in the second quarter?
George Maxwell: Yeah. It was certainly more than we put in our values, but it’s about 600,000 in total, that was expense, even [inaudible] and I think, I would suggest that Q3 will be similar to Q2.
Richard Dearnley: I see. Thank you.
Al Petrie: Okay. George, I was emailed two questions from Stephane Foucaud with Auctus. He said, he was trying to join with his phone line. So, the first one, what is the latest of the FPSO contract went on?
George Maxwell: Okay. Well, as I mentioned earlier, one of the questions I answered, we expanded the supplier base that we contracted to really have a much better review of our options. Specifically, with the discussions around on that and we failed to reach a commercial acceptable settlement in which we can go forward and contract. We’re still in discussions with a number of providers and I would anticipate within the next two weeks, we’ll be able to come to market and advise them exactly about contracting position.
Al Petrie: Okay. Great, George. And Ron, this is -- this one is more for you, would be good guidance for the future or future years for workover yearly expense. He said he noticed that there’s $8 million to $10 million that we intend for the third quarter?
Ron Bain: Yeah. I believe we generally look at one to two workovers a year. Now what we only consider our guidance would generally be in the region of about $5 million to $10 million. We certainly look at that as the year progresses, bearing in mind that the one plant workover we have for 2020 which we accelerated into 2021. I would think 2022 will be the more in the $5 million range. But that’s something that we’ll take a look at in our budgeting process, which we’re reviewing now in August.
Al Petrie: Okay. Thank you, Ron. Operator, any other questions?
Operator: There are no other questions at this time. I’ll turn it back to George Maxwell for any closing remarks.
George Maxwell: Well, I would like to again thank you everyone for attending this Q2 and first half results. I think the positions that we’re presenting for the company going forward and in 2021 are very exciting. We have the opportunity of potentially opening up a significant second leg of production opportunities in Equatorial Guinea. We have an extensive drilling program to try and fill the average of processing positions we have in Gabon and all of that being self funded inside the company. So I think it’s -- the outlook for the second half 2021 albeit and we do have a second unplanned shutdown for safety reasons in Q4. I still think it will take a very exciting second half and that leads us into the position for 2022, where the continuation of the drilling program and further enhancement of production, it was very, very positive aspects towards the cash flow generation and profitability of the company in going forward. And I’d like to thank you very much for everyone who listened in.
Operator: The conference has now concluded. Thank you all for attending today’s presentation. You may now disconnect your lines. Have a great day.